Paul Smith - Head-Investor Relations: Okay. Great. Ladies and gentlemen, welcome to Glencore's Full Year 2014 Results. This morning will be the usual formula. There'll be a presentation by Ivan and Steve, respectively. Should be followed by a Q&A session. The divisional heads, as usual, are all here also for commodity-specific questions. So with that, let me hand over to Ivan.
Ivan Glasenberg - Chief Executive Officer & Executive Director: Good morning. Welcome you all here this morning. And as Paul said, we'll have mainly a lot of time for questions. So we got the department heads here to handle any of the questions on particular commodities. So, looking at the highlights of the year, you can see on this page the adjusted EBITDA, $12.8 billion. That's only 2% down on 2013, a lot less than a lot of our peers in the commodity space. And a lot of it, as we've always said, is due to the marketing division of the business. And as you can see, the marketing adjusted EBIT is $2.8 billion. That's up 18% on 2013. And it's a point we always said that differentiates us to our competitors. The marketing business is very resilient. Since we IPO'd the company in 2011, we gave a range where the marketing would be. Since the takeover is shorter, we said marketing would be between $2.7 billion to $3.7 billion. Lower commodity prices were more towards the bottom end, and as you can see $2.8 billion. But it's not linear to the commodity prices as is in the industrial assets. And therefore, you can see, even with falling commodity prices in 2014, we were up 18% on the EBIT of the marketing. Once again, it varied because we got this wide range of commodities. And as you'll see on latest slides, when Steve presents, a big part – it varies in different years, the different commodities, how they perform. And we had very good performance on the grain sector during 2014. Net income is down 7%, $4.3 billion. But – and then, we've got industrial synergy savings we spoke about when we purchased Xstrata. That will give industrial savings of around $1.9 billion. And those have been realized during the year. The balance sheet, we have a robust balance sheet with strong cash flow coverage. And Steve will go in more detail on that later on. But funds from operations you can see is $10.2 billion, slightly down from 2013. And we've decreased the net debt considerably from the first half of 2014. And the net debt is down $7.1 billion, down to $30.5 billion. We've always said we wanted to keep a BBB type rating. That's where we believe this company functions well. We don't want – there's no reason to have an A rated balance sheet. We don't need a lazy balance sheet. That's where we believe it's right with a cushion on investment grade rating. And this would be reconfirmed by Standard & Poor's. And you saw they sent out a report very recently on that. The CapEx is down $8.6 billion during 2014. That's down $2.8 billion from 2013, and it will be further declining. As you know, we're bringing down our CapEx. And the inherited expenses of Xstrata are coming towards an end. And so, we've indicated that during 2015, we'll bring that down to $6.5 billion to $6.8 billion. And then, hopefully, 2016 onwards, just down to pure sustaining CapEx. If we look at the outlook for the future, we believe we're in the right commodity mix. We believe we're in a set of commodities. I've always said demand is still good on the commodities side, on all commodities. Whether you believe China growing 7%, 7.5%, demand is still good. But the big question is, how is supply? We believe we have the right commodity mix. Most of our commodities, there's no new big supply coming into the market. We believe we are transitioning most of our commodities into a deficit, if we are not already in a deficit on some of the commodities. But if you take a look at our commodities: zinc, copper, nickel, coal, et cetera, you don't see new big supply coming into the market. So, we're pretty comfortable we're in the right commodity mix and we should bode well for the future. During the year, we returned $3.3 billion to shareholders. And if you have a look, which is a very interesting figure I think, since 2011, we have returned $9.3 billion to shareholders in the forms of dividends, buyback of the convert, the dividend of Lonmin, and the total dividends being paid. So, therefore, pretty big figure since 2011. In line with Glencore's sustainability and governance, regrettably, during 2014, we had 16 fatalities. However, it is down since 2013 where we had 26 fatalities. You can see our LTIFR is decreasing considerably over the year. And an interesting figure, we've rolled out SafeWork to our operations and we're really working on this figure. But an interesting figure we will look at, we do operate in difficult countries. A large amount of our workforce is sitting in the DRC, Zambia, Bolivia and Kazakhstan operations. While we emphasize that, if you break down our figures, we have 140,000 people operating in other areas of the world and 60,000 employees are operating in these four areas. The fatalities in these four areas of the 16, 13 occurred in these areas and only 3 in the balance – 140,000 employees in the balance areas. So, 3 out of the 140,000, if we take out of these countries is totally world class, right amongst the best of the best in that area. Unfortunately, we're operating in a different culture, a different environment and that's why the 13 fatalities occurred in these areas. Now, this is our job, we're not leaving those areas. We're not running away from them because we have this problem. We're fixing this problem, and we have to roll out the great safe practices as we have in these other areas of the world and changes culture and changes environment in these four countries. If we do that, we will greatly reduce our fatalities. And this is the major job of the company. On the governance side, as you all know, our Chairman, Tony Hayward, has been confirmed as the Chairman of the company. Peter Grauer has been moved into the Senior Independent Director role. And Patrice Merrin has been added as a new Director of the company. We've been highly recognized. And we've had memberships of the different external recognitions in this area. And one we're proud about is the Mopani Copper award, Company of the Year, in Zambia by EITI in reporting and transparency. We joined ICMM during the year, which is a move by the company to take this forward. So, I think that gives you an idea in those areas, and I'll hand over to Steve on the financials.
Steven F. Kalmin - Chief Financial Officer: Morning everyone, and to those that are on the phones. And I guess fatigue is setting in a bit. We're the last of the majors to report and for the full 2014 as well. A fairly boring, if I can use that sort of language, in terms of our accounts and reporting over the last three or four years. There's been a lot of noise around mergers, acquisitions, integration, and getting the two companies aligned. So from the financial perspective, I intend to be fairly quick today and maybe keep a lot of time for some of the Q&A as we move forward. So, just if we look at some of the financial highlights for 2014. I think you'll all agree we had some quite significant milestones and performance deliveries during 2014. EBITDA, as Ivan said, just lower by 2%, 2013 on 2014. And that was a function of the marketing business up 15% at the EBITDA level, setting in a good base with a 7% reduction at the industrial, so delivering a fairly flat performance there. We've seen CapEx of course throttle back and reduce quite significantly 2013 on 2014. That's been a trend ever since the sort of heavier days of 2012 and 2013. On a pro forma basis, we were running about $13 billion. So, that's come back quite nicely, 24% to $8.6 billion. And we'll see a further reduction of 20% plus in 2015, as we move towards that range of $6.5 billion to $6.8 billion, which I'll talk a little bit about later on. Consistent with the EBITDA performance of course, we've got funds from operation, the same level EBITDA being a cash benchmark, of course funds from operation at that same sort of level. We'll see a slide later on as well as to how the net debt profile worked through the company. The net income, still a little bit of noise coming down to the net income, $4.3 billion down 7%, of course you got additional depreciation. What we've done, if you look at page 120 I think of the extra release, where we tried to look at the tax profile of the company. we've still used the blended marketing 10%, industrial 25% to come up with an overall blended effective tax rate of 17.2% for 2014 against 19.8% in 2013. That does reflect the different mix of the business of course, with the industrial having come off of it, marketing improving at 15% to 18% depending at which level. The marketing mix of the business has been running about 40% in 2014 against 30% in 2013 as well. Now of course that mix is going to be a major driver of what the blended effective tax rate is as we look towards those various contributions as well. If you sort of do a reality check on that 10% and 25% over the two years where we've provided those reconciliations at the back of the report, you've got around $2 billion of P&L tax charge reflecting that, which does approximate the cash taxes that we paid over the last two years, which is also around $2 billion. So, I think that's a good benchmark to say that that's in line. Going forward as we still account for this mix of about 10% and 25%, the accounting charge is actually going to be quite a bit higher than the tax charge as we still work through and eat into some of those tax losses that we still have in Switzerland, in U.S., in Australia, and some tax losses in Africa as well. So, that is an asset of the business as well that we're obviously managing and will work its way through the cash flows in the next sort of two to five years or so. And I'm not sure how that's been sort of properly reflected in models going forward, but it is quite a big cash shield as we move forward on the tax line. In terms of significant items, there were about $1 billion net overall of impairments. You can see the details in the report. Around half of that is in the iron ore side, slowing down the development of those various projects that we have there, and reflecting very little cash as actually since the merger with Xstrata has gone into those assets themselves just reflects the fact that we had to bring those assets into the books back in May 2013, basis the iron ore pricing curve structure. And looking around the equity market, if you look at the more junior Australian iron ore equities, you've seen most of those of between 80% and 90% during that time at the smaller end of structure, whether they're developing or whether they're even producing as well. So about half of that, around $500 million on impairment was just adjusting the iron ore book values down to more modest option values which is essentially where we have them at the moment. Very pleasingly, we've seen a massive reduction in net debt as you can see, down to $30.5 billion. A big amount of that of course, during the second half of 2014, 19%; 15% reduction overall for the year, was a function of a lot of areas, not just Las Bambas proceeds net of some other acquisitions that we did. Of course, that was a big driver. You've seen some working capital release. The fact our CapEx is down 24%, pretty good cash from operations, just down 2% as well. You've got a combination of various things. And we did deliver quite material shareholder distributions during 2014. There was a regular-based dividend and we're about 93% of the way through the share buyback that we had at that particular point in time as well. And then as we can see as well, leverage metrics, which we'll look at that later on, all moving in the right direction. Maybe just one point, just to highlight at the bottom, the small print, we did release $2.3 billion of non-RMI working capital which is some other inventories. It's also receivables and payables. That you would expect in a falling price environment and some of that can potentially intensify into 2015 as well, depending on where commodity price is. On the RMI side, we did actually have an increase in the RMI during the year, $2.8 billion. Most of that in fact, $2.4 billion, was in the second half of the year. And that's also reflecting our strong financial position and having the ability to seize market opportunities that did present themselves across the business as well. There is a temporary element to that. We expect the majority of that, so more than half of that, to reverse in 2015. There is some marketing benefits through margins and returns of course to generate on that in 2015. That's of course something that is a proactive. It's not something that that just catches you unaware. That was something we of course consciously did. And it is part of the marketing strength and thesis of what happened. If there is any seasonality in the business, which is not really from a P&L perspective, but clearly from a balance sheet perspective, it is often around that fourth quarter where other companies also look to manage their own financial profile and capital structures around year-end, that there is clearly some opportunities as well for companies like ourselves to deliver some returns. And that is the business we're in. It's all hedged. And we expect, as I said, a lot of that to reverse out in 2015. In terms of breaking it up between the marketing and the industrial, as we've said, a solid performance across the marketing portfolio, up 18%; agricultural of course being the standout relative to 2013 there. It's a function of both a strong 2014 and a weak 2013 as well. So, you've got the base working its way through, particularly Viterra. Strong crops in Canada, Australia, and the handling part of that business, the throughput part of that business delivering. It was also a full year of finally having that business better down from integration and achieving the various savings that came from that, so a very pleasing strong performance there. Metals and minerals holding around the same levels. We've highlighted just one area that was a bit weaker in 2014 over 2013. These are not big numbers either way, but it's certainly the ability across a business to swing sort of $100 million either way between 2013 and 2014 was in the iron ore. That was a challenging market, particularly 2014, are of course a bit more at the EBIT level given extra depreciation, particularly in oil and in copper. There's extra depreciation there. Interesting to note on the industrial performance EBITDA, the second half was in fact slightly higher, I think 2% higher than the first half of 2014. So, that does show a solidity in business and a business that's still in the process of being transformed in terms of cost structure and quality of tonnes and growth as well, in zinc, in nickel, in copper, et cetera, et cetera. So, the – we'll see a waterfall chart later on, but the metals and minerals is definitely still the biggest side of the overall business as well. There's 2% reduction down there. Of course, lower prices impact particularly in copper and the by-product credits we get on the precious side, gold and silver, we do produce quite a bit of those, but again, within our portfolio, mitigated by some volume increases. And some prices actually showed some relative strength in 2014. Nickel and zinc in particular were actually up as commodity prices as well. The big impact on the energy side in coal, particularly on the pricing side in 2014 compared to 2013. You'll see on the slide all that reduction was essentially in coal about $500 million net on – net in prices was of course the biggest impact where most realized prices depending on the quality was 10% to 20% down. And for the first time, that's not sort of a flat line there, a little bit of contribution from the agricultural, industrial side, having invested in certain processing plants, crushing. South America and Europe is where we're – Eastern Europe is where we've most penetrated, but for a business that was almost a rounding error, you're starting to see some contribution on the agricultural side. And that should continue at some positive level going forward as well. So, that's on the industrial side. Just a quick – this is the industrial waterfall. We've put it into a two-year perspective just also to show the combined work on the cost synergies and efficiencies over the two years. Some of that is our own drive. Some of that, of course, was to do with the synergies on the industrial side by the assumption and integration of the various Xstrata assets as well. Of course, pricing, major impact in 2014 of close to $2 billion. $1.4 billion of that was on energy. $1.248 billion was on coal, and a little bit on the oil side was about $136 million. And the metals side was the balance of $585 million there. Again, you got pluses and minuses there. Copper and precious was down 2013 to 2014, but zinc and nickel gave some positives. And in fact, zinc – nickel overall industrial was quite a big positive as well from 2013 to 2014 as well. We've delivered some volume growth, some cost improvement as well. This is also made up of bigger positive variances and also a slight drag on costs of still carrying some overhead in advance of the delivery of some of the efficiencies that comes from the greater scale and the greater tonnes. If you take our zinc Australia business, which was obviously expanding up both in McArthur River and at the Isa complex carrying high costs as those tonnes until those tonnes came through. You saw the Q4 production, the acceleration that we expect there to come through in 2015 as well. And similarly, in African copper, there's also a phase together with Katanga there as well. That's going to show positive trajectory going forward. I'll give some sort of indication as to how those variances are going forward. On the inflation side, 6.93%, that's a blend of about 2% across our entire asset base. Of course, you get very benign inflation in most developing countries, but we still have quite inflationary and hyperinflationary in some countries as well where you have the FX benefits associated with that. We had two operations in Argentina. We've got operations in Kazakhstan. South Africa, of course, has got bit of inflation coming through as well. So, that tends to work against each other as well – there as well. So, a lot of the pricing, you did have some positive elements there. But if we look towards 2015, no one quite knows where pricing is going to work out. At the moment, there's – in terms of average prices, 2013-2014, we feel and we'll talk a bit little bit about that later on. There's some spring in the step in coal that seems to have come back. That's obviously a key commodity of ours, and we'll see where the overall net works out. But every one of these other drivers, as we look forward to 2015, is going to be a positive development. We've got some volume growth and particularly in zinc and copper, expected from 2014 to 2015. We've got some big cost reductions expected from 2014, as we've transformed and bringing in lower unit cost particularly again in zinc and copper. FX is going to be a big tailwind for us going forward. The last year's average as compared to current spot is quite a big difference as well as we go forward. So, we're getting good benefits there. We need to see where the pricing comes. So, either way, we think we hopefully either bottomed or sort of near the bottom and can start heading in a more positive development there in terms of the industrial part of the business and people looking at some of their spot assumptions and the like as there's clearly focus on that. If we look on the financial side, just graphically everything heading in the right direction. As we've said, robust balance sheet and strong cash flow coverage as well. The net funding part of the business has been coming down, could even be more as we go forward because there's an RMI element to that as well, which we said clearly went up about $2.8 billion. Net debt, down significantly. Ratios, strong movements of FFO, net debt; and net debt to adjusted EBITDA, comfortable within our target bands and trending better as well. Confirmation from major agencies around the rating and clarity of how they look at the business and the numbers that they're using as well, I thought the reports were quite good and keeping risk parameters clearly comfortably within our target bands as well. Just on CapEx, a couple of slides as well, and then we'll wrap it up. This was just looking at 2013 to 2014, of that 24% reduction that we saw as well. So wrapping up a lot of projects here, a lot of legacy expansionary projects that are coming on line, African copper, big expansion and some CapEx reductions there. Australia zinc across the portfolio, you're seeing some big reductions there. And in the energy side of course, we've seen some reductions on the coal side particularly in Australia, a little bit in South Africa as well. So $8.6 billion total CapEx, down 24% as we said from the $11.3 billion, and trending significantly downwards as well, that you can look at this chart as well. This is the 2015 guidance now, and the industrial CapEx stood at range of $6.5 billion to $6.8 billion down from $7.9 billion. Most of it, as you can see – so sustaining CapEx, we said $4.3 billion down to $4.1 billion; so $200 million reduction there. And the range we've kept on the expansionary side, we were $3.6 billion, now $2.4 billion to $2.7 billion. Most of that is in energy block which makes up oil and coal for us as well. So you've got reductions of $1 billion to $1.1 billion there. And we've just made a comment that that's come broadly evenly from oil and the coal side. So oil, as you would have seen, we're $1.2 billion or so. You can all take 50% of that and on the coal side similarly. There's obviously a range still as we're working through the final plans, but that range is quite – is obviously quite lower. And I think one of the flexibilities and just allowing for that range, and I'm sure there'll be questions on that later on, is just a little bit of what's the final capital as we move forward in terms of Koniambo as well. So there's a bit of flex in it for that as well between the $6.5 billion and $6.8 billion range as well. Negligible expected impact on earnings through these – there may be some volumetric effects which we can talk about later on as well. Not so much on the metals side, but of course, we've announced some coal reductions last week, and there could be not so much nearer term, but at some point the rate of growth on the oil side is clearly going to depending on how much CapEx we commit to that business both in exploration and development going forward as well. So just a quick summary chart on our movement in net debt and our cash flows. So as we said, $10.2 billion of funds from operation. We did have a kicker clearly from net acquisitions and disposals, $4.5 billion; some working capital release, $2.3 billion. That number, fortunately, is coming down to $8.4 billion. It's going to be in the $6.5 billion, $6.8 billion range as we've said as well, comfortably covered distributions and share buyback which we announced last year. Obviously, allowed for a $5.3 billion reduction in net debt. In terms of the capital allocation matrix, which we've discussed previously as well, that's clearly an area – M&A brownfield projects that we continued to look at for returns that meet our hurdle rates, also benchmarked against buybacks and paybacks, et cetera, ensuring the capital structures, of course, our overwriting commitment around strong BBB. And we believe that's the optimal structure around capital providers and shareholders of the business as well, provides abundant access to capital. And then allowing all of that is the ability to enhance shareholder returns, make the company work for our shareholders well both through the base dividend and supplementing through buybacks and specials and the like as well. So with that number coming down, but obviously alert to opportunities that may be around the corner, that number fairly stable, of course, around our commodity concentration, the marketing business and greener, have some flexibility around working capital. If we want to target areas there, we do have some impact around working capital. It would not be at the expense of returns that we expect and opportunities in the marketing business as well and the reduction, of course, in net debt was particularly pleasing for 2014. So with that, will hand back to Ivan.
Ivan Glasenberg - Chief Executive Officer & Executive Director: Okay. Thanks, Steve. Looking – going forward, as I said earlier, we got confidence in the commodities and our outlook, especially in the commodities in which we have production. Our key earning drivers represented 95% of our EBIT in 2014. We believe, as I said earlier, in the commodities which we handle, the markets have transitioned or they are transitioning into a deficit market. And because of our production profile, we have operational leverage to get earnings upside by increasing production if need be. The group is comfortably cash-flow positive even at current low-ish commodity prices and current exchange rates. And as we show those numbers with Steve, even going forward, at these commodity prices we can – we'd meet dividend, et cetera, going forward. The interesting thing if you look at the various – unfortunately, during the year, the marketing represented 42% of our EBIT. Now, as I say unfortunately, we like that figure to be lower, which means the assets are performing better and that EBIT transition is down to 20% is great, means the others are performing well, because we're pretty confident, as I said earlier, marketing will be between $2.7 billion, $3.7 billion no matter what commodity prices are doing. What is also interesting with the marketing, you've seen a lot of reports come – I've seen some reports come out that we may not have the funds for the marketing business. This company has always had the funding for the marketing business. Even maintaining the BBB rating, this is quick turnover of capital. It's not long-held capital. It's not capital sitting in the ground which we can't get out quickly. So we control the balance sheet in respect to the marketing. We can see it that where it is. We have billions of dollars of excess capital to put into the marketing business. We don't have a shortage on that side that would affect our rating. And therefore, we will deploy as much of our capital into the marketing where the marketing department requires it, and they can generate the type of earnings which we put a hurdle rate on the marketing. So therefore, the marketing will not be held back on the capital. And I've never seen that in 30 years I've been with the company where we've held back capital for the marketing. It's always been available, and the balance sheet contracts or expands depending upon where commodity prices are. So that's not an issue. If you look at the various commodities, I mean, Telis on copper, gave an outline in our presentation in December where he sees the numbers. We do believe we are transforming into a deficit in copper. That is based on demand still being there, Chinese growth still being there. And the big question is will the supply be as big as people are stating it is. And as we've seen, there'd been a lot of surprises on the negative on the supply side, where expectations are not where they're going to be. So therefore, we do believe copper is transitioning into a deficit and Telis is available to discuss any of those numbers. You saw when he spoke about the Wood Mackenzie report last year. They've come out and confirmed a lot of these figures have basically been correct. On zinc, we've always said, towards the middle of this year when you're going to have the shutdowns of the two major – two larger operations. We have Lisheen shutting down, you have Century shutting down. There's no new zinc production coming in to the system, so therefore, it is transforming into deficit on the zinc side. Nickel. We've discussed the main – big reason is the ore export from Indonesia. The ban is still sitting in place. We do see ore stockpiles running down in China of the nickel ore, and we believe this market is definitely transitioning into a deficit during the year and that should bode well. Exactly when pricing move, we cannot predict, but the market is looking good in these commodities. Regarding coal, we all know, coal – we are big part of the coal supply side. We represent 150 million tonnes in managed production in a billion-tonne seaborne market. And as we've always said as a company, we do not want to cannibalize our own production, and therefore, we're not going to put our tonnes where we believe it can have a negative effect on pricing if demand is not there for those extra tonnes. So we have taken the decision that we will cut back 15 million tonnes during 2015. We believe that will create an oversupply in the market. There is no reason for that. And we didn't want to cannibalize our existing 150 million tonnes where it may have negative effect on pricing. So therefore, we've taken this decision. We did this last year. We did in December last year, where we had the three-week shutdown. It had a positive effect on the pricing, and we will continue doing this if we believe we are oversupplying the market. So therefore, we have a bit of control on that. So we'll continue doing it. So overall, we believe we're in the right commodity, there's no big supply coming in these commodities. And as long as demand keeps growing, we believe we're in the right spot. Our priorities for 2015, this is nothing new. This is how we see this company operates. Naturally, the main fact we want to deliver growth on the assets which we have which have had the capital spend. McArthur River is ramping up. It's performing well. Katanga, we believe we will hit the 270,000 tonnes annualized tonnes by third quarter of this year. So that operation is sorting out its previous difficulties on the power, et cetera. Telis can talk in more detail if there are any questions on Katanga's performance but we will ramp it up to full phase, to full production capacity by third quarter of this year. Koniambo is still an ongoing issue on the plant. It is a large plant which has been bought. You know it is a greenfield project. You know a feeling on greenfield projects and we are experiencing the difficulties with this greenfield project. It is the one we inherited, but we got to work through the problems on that. And Kenny is available here and Peter Johnston on any questions on Koniambo. Chad oil, in – within the Glencore philosophy, it is a big reserve. It's a reserve for the future. We have cut back on capital expenditure there. And while the oil prices are where they are, we'll limit the expansion profile on that and when markets turn, we can increase it. The oil is in the ground. It's not going anywhere. The same like we talk about coal. We're not going to dig the material out of the ground if we're not generating the right returns we want as a company. We'd rather leave it in the ground, it's not going anywhere, and dig it out of the ground when it can generate the returns that we requires in this company. As we always said, capital discipline. We are going to be cautious what we invest in. We're going to make sure the company continues to be free-cash-flow generative, and we will purchase assets if they give us the right returns at hurdle rates which this company requires. We're not going to grow for the sake of growing. As we've said, we have a strong hurdle rate in this company, and unless we get these hurdle rates, we'd rather kick out the funds to the shareholders. Operational efficiencies, naturally, to keep and make sure our assets are going towards first quartile, our assets are – many of our assets are in first quartile, and we continue pushing them to make sure we're in that area, and we can reduce our cost on our production profile. Rating, as Steve said, we maintain BBB rating. That is important for us. Continue improving in our health safety, as we mentioned earlier, and putting that all in place. We're confident we will grow the base dividend. We're very much focused in returning cash to shareholders and not hoarding cash in the company. We want to keep a balance sheet that is working for the company. We don't believe we have to have a A-rated balance sheet. BBB is where we like to be. That means we've got a balance sheet working for our shareholders, and we'll continue returning cash to our shareholders. We'll look for opportunities in the market. As we've always said as a company, we're not a company that is going to say we want to grow in one particular commodity. We don't care where it is. It can be any commodity. And provided we trade that commodity and when opportunities present themselves, which gives us the right hurdle rates, we'll look at them. We always will make sure that it meets our criteria and our rating agency's criteria. We'll not do anything that can jeopardize the ratings. So that's what we've always said. This is how this company operates. Nothing different. Very important returns, cash back to the shareholders, to do the right thing and not hold cash in the company, which isn't giving the right returns to the shareholders. So I think that's a summary of the 2014 results. So we're open for any questions. Paul?
Paul Smith - Head-Investor Relations: Just a quick housekeeping point on questions. There'll be a microphone coming around. As before, don't bother asking a question on Rio because we won't answer it. Rob? He's the guy with the white shirt and the stripy tie on.
Rob Clifford - Deutsche Bank AG (Broker UK): Thanks, Paul. Rob Clifford, Deutsche Bank. Two questions. One on the coal cuts. Can you talk about how you're going to go about the 15 million tonne reduction and what do you think it will do to your cost base? How many dollars a tonne you think you're going to give up in that reduction? And secondly, just some thoughts on the marketing business. In a world where we say commodity prices were flat today, would you expect your marketing division to deliver in the middle of your range or at the bottom end?
Ivan Glasenberg - Chief Executive Officer & Executive Director: Okay. The coal side, and Peter can talk about where he's going to cut. What I didn't mention is when we were cutting our coal production, what is important, none of those cuts are loss-making. All our coal is profit making, but we have taken the decision, even though it's profit-making tonnes, we'd rather remove it from the market because we believe those tonnes will affect the market price and affect the balanced managed tonnes of 150 million tonnes of which around about 120 million is equity. But of those tonnes, we will affect that 150 million so much that the loss of profit on the 15 million tonnes cut doesn't balance against the – compensate for how it would hurt your 150 million tonnes managed tonnes. So that is very important when you look at the two. How are we going to cut it? I mean, Peter can talk about that and give an explanation.
Peter Carl Freyberg - Chief Executive - Xstrata Coal, Glencore Plc: Hi, Rob. Basically, we're cutting almost everywhere. We've looked at our entire portfolio in Australia on the thermal side in particular, and we've decided that we're going to wash coals differently. We've got some of the underground rosters, some we've already announced at the site. Some other sites, we're still looking at very closely because there's still some opportunities there where we can better align the output in terms of development and long hauls. We've parked up and announced to some of the operators, some of the other burden equipment that will be standing. So the reality is instead of accelerating like mad that we were, and some of that is historical, goes back a few years, we've actually put the brakes on quite hard. And the objective of the exercise is to avoid having the marketing team going out and selling basically what's an additional 150 to 170 vessels of coal in a market that's really oversupplied. So you'll probably see our total across our business including some of the cuts that we've announced in South Africa closer to 2013 levels rather than 2014 levels. So there's some serious cuts that have happened.
Ivan Glasenberg - Chief Executive Officer & Executive Director: And then.
Peter Carl Freyberg - Chief Executive - Xstrata Coal, Glencore Plc: And just sorry, in terms of costs, just to emphasize what Ivan was saying, we still managed to drive down our costs last year by in excess of $500 million, $600 million on a real unit cost basis. We did present in December that showed you how well-positioned we were in terms of margins. The tonnes we're taking out, the objective of the exercise obviously is not to keep forcing that incremental tonne into the market and trying to avoid the effect that has on the rest of our portfolio. Will it have an impact on our costs, obviously. And it's probably in the order of around $2 to $3 I'd estimate. But I promised you guys previously that on average, our portfolio would be running below $50. Well, that's well below that. And this year, we're targeting still further reductions even after these cuts.
Ivan Glasenberg - Chief Executive Officer & Executive Director: And then on the marketing side, your question on the marketing, at current prices, where would the marketing sit. As we've always said, marketing was $2.7 million, $3.7 million. Lower commodity prices where we are today, we thought was a $2.7 million and therefore you would get, I would imagine you'd get similar results as we got today. However, things vary. You never know what happens in markets. As you saw last year, grain had a spectacular year, so you never know. Some years oil may have a great year. The way the market is structured today and what you've seen and read, it's clear on the oil side, the market structure is very good for oil trading results. And the U.S. started off very well on that area. So if it continues like this, oil could have a blow-out year. We don't know. We'll see how the rest of the year bodes. But right now, it's looking very well structured for oil trading. So you never know. Things vary as the markets change, et cetera. But generally as I say, comfortable in the $2.7 million, $3.7 million but we have had years that we've exceeded the $3.7 million if you go back historically.
Paul Smith - Head-Investor Relations: Liam?
Liam Fitzpatrick - Credit Suisse Securities (Europe) Ltd.: Morning. Liam Fitzpatrick from Credit Suisse. Two questions. Firstly, just a follow-up on coal, how permanent should we think about those 20 million tonnes of volumes that you shut out and how quick could they come back? And secondly, just on the CapEx, I think, Steve, you said from 2016 you'd go down to sustaining, which is $4 billion. Is that a realistic number or should we be thinking more around $6 billion?
Peter Carl Freyberg - Chief Executive - Xstrata Coal, Glencore Plc: Just on the coal question, we've obviously been through a lot of work over the last six months. And our December shutdown was part of that and you saw the impact that that had, or we believe we've seen the impact that's had on the market and how tight it currently is. And we can see it by the vessels that are queueing for example off Newcastle. But prior to that, we went into a budgeting exercise, and I know how we budget internally. It's not something that you guys look at. But we obviously, within that planning process, try and position our business as well as possible to reduce costs, generate cash, and minimize capital and so forth. Since that budgeting exercise in October until now, we've seen obviously some adverse marketing outcomes in terms of price. The prices have gone down. But we've made adjustments. We have singularly the most flexible, largest portfolio in the industry. We've made adjustments looking at these cuts, looking at our capital, obviously taking advantage or getting the benefit from the exchange rate as well as what's happening in the oil price. We are actually more cash generative now than what we thought we would be in October last year. So that's the work that we've done the last six months. We'll obviously have to see how the market plays out this year in terms of demand and we'll position around that. But it's an ongoing process. So I can't tell you exactly what 2016 looks like. But I think it's pretty unlikely that we're going to rush back with 15 million tonnes and undermine the base that we've developed.
Ivan Glasenberg - Chief Executive Officer & Executive Director: Now you've got to remember the base that we have, as I said, the 150 million tonnes. What is key, we will cut back because we don't want to be the ones forcing the price start with oversupply. Now the question people could ask, and this is what we monitored before we did the cut back, and that other people have used in other commodities the argument, someone else will fill that hole. So we cut back 15 million. We're going to look pretty stupid if someone else goes and fills the hole and takes advantage of the 15 million, and therefore we should have kept those tonnes in the market because those were cash-generating tonnes and profit-making tonnes. So why would we give it up and leave that space open to others? We've taken this decision to cut back the 15 million because we don't believe that hole's going to be full without us. And that is our expert, let's call it, our knowledge of the market because of our third-party trading. We got an idea saying we can do it because others won't follow. So we've taken that decision.
Peter Carl Freyberg - Chief Executive - Xstrata Coal, Glencore Plc: Yes And I just wanted to add please.
Ivan Glasenberg - Chief Executive Officer & Executive Director: Stand up.
Peter Carl Freyberg - Chief Executive - Xstrata Coal, Glencore Plc: Yes Sorry. Not just from a tonnage basis, also from a quality basis, and specific targeted markets, it's also key. We've seen a massive segmentation in the market as we've talked about over the last year. So that's another part of that logic behind that.
Steven F. Kalmin - Chief Financial Officer: And Liam, just on your second question on 2016 CapEx, I mean, that sustaining level is more sort of 2017 – sort of mid-2017 before it starts to sort of fall as we sort of get to that level. So 2016, around $6 billion is still a reasonable assumption. I think we're about $6.5 billion at the Investor Day. So around $6 billion is a reasonable assumption because there's still a lag on certain CapEx if you got Koniambo ramp-ups and still a few things that will still play out during 2016 as well.
Ivan Glasenberg - Chief Executive Officer & Executive Director: But long-term sustaining CapEx...
Steven F. Kalmin - Chief Financial Officer: $4 billion, $3.5 billion to $4 billion.
Ivan Glasenberg - Chief Executive Officer & Executive Director: $3.5 billion to $4 billion is the long-term sustaining CapEx figure.
Paul Smith - Head-Investor Relations: Ash?
Ashleigh J. Lazenby - HSBC Bank Plc (Broker): Thank you. Ash Lazenby from HSBC. A couple of questions, please. First of all, on copper, Telis, I'd be great to just get an update from you on the recent price action, also what you're seeing from a fundamental perspective, and given that Chinese New Year is over, where you see pricing moving to in the near term? And then secondly, just on the buyback program, I guess, Steve, you sort of alluded to the – managing the balance sheet into the back-end of the year. If we do see some level of recovery in copper, given the fact that CapEx is falling, cash flow generation is positive, is it reasonable to assume that you might start talking about reinitiating a buyback program towards the back-end of the year? Thank you.
Aristotelis Mistakidis - Co-Head - Zinc/Copper/Lead Department, Glencore Plc: Good Morning. Just on pricing. I mean, just to go back on what we said in December and really to answer some of Paul's comments to me, we didn't comment really on where we thought prices were going. Our comments were based on where we thought the supply/demand was for 2014 and for 2015. And we thought that the production estimates or the production numbers that people had in – down in their analysis were too optimistic. And what we commented on was that we thought that in 2014, the surplus wouldn't be there. And I think, looking back now, people have amended the figures to show that I think we were correct in what we said. And that the 0.5 million tonne surplus for 2015 that was being projected was way too optimistic in terms of production. And I think what we've seen now over the last two months is analysts have taken down their supply figures and is looking more like a balanced market. Those were our comments at the time. Now what happened, looking back between December and the end of February, was a very big play on the derivatives market. There was tremendous amount of short selling. And I think we've read that. It was pretty well documented in the newspapers what happened in terms of the spectrum of activity and it was bigger than we've ever seen at any other time. That was compounded by two things. One, the Qingdao warehouses scandal made the banks a lot more nervous to provide credit. So credit for financing was much tighter and at the same time, you had a situation where the Chinese New Year was at the end of February. So you had a void in terms of Chinese buying from the beginning – well, the middle of December, I would say, till the end of February. And we also – the price action, what happened, I think everybody knows what happened. Now, the Chinese are back. And so what we've seen is we do believe that if you look at the bonded warehouse figures, there has been quite a bit of destocking on the – not on the warranted material, but on the Chinese bonded warehouse. Why has that been? Because it's much more difficult for people to hold non-warranted material than there is to hold warranted material because of the banking – the lines of availability. So yes, I mean, on a medium term, you've got to look at the underlying production numbers which we think will disappoint and have disappointed and put your figure of growth. The only thing that you've got to try and figure out is when you're looking at the short-term price actions or the short-term figures, you've got to differentiate what is stocking and restocking from the underlying demand and that's really the key that everybody has to try and get correctly. So, because the imports are almost 400,000 tonnes a month, 15 days restocking is 200,000 tonnes, so it has very big effects on the market. Thank you.
Ivan Glasenberg - Chief Executive Officer & Executive Director: Excellent.
Steven F. Kalmin - Chief Financial Officer: Yes. Ash, just on your buyback part, yes, I mean, contrary to maybe other companies that may look annually, we would certainly consider more flexibility around that, at least at the semiannual as well as the annual periods. So if we come August and exactly as you say, there is more confidence in both the predictability of cash flows, the free cash flow generation, and outlook and ratings be it copper, be it coal. There's a whole number of factors that could result and that certainly could be another trigger point for saying do we continue -do we put another buyback program in place, so therefore, absolutely.
Paul Smith - Head-Investor Relations: Jason?
Jason R. Fairclough - Merrill Lynch International: Jason Fairclough, Bank of America Merrill Lynch. Just a couple of questions on the marketing business and the RMIs, Steve, you alluded to the fact that the RMIs are self-liquidating. Just wondering if you could confirm, let's say, the average duration of those RMIs. And then, I guess, related to that, do we have contracts or financial assets in the marketing business that have durations of longer than a year?
Steven F. Kalmin - Chief Financial Officer: In terms of – I mean, the first point, in terms of the RMI liquidation, you can liquidate almost all of it in a very short period of time that – and then it just may come that may not be the most optimal in terms of loss of premiums or sort of structures like that. I mean, this is all...
Ivan Glasenberg - Chief Executive Officer & Executive Director: Hedged.
Steven F. Kalmin - Chief Financial Officer: It's all hedged...
Ivan Glasenberg - Chief Executive Officer & Executive Director: All hedged.
Steven F. Kalmin - Chief Financial Officer: At least on the metals side. It's sort of deliverable or it's consumable or it's a fairly basic metal in consumption, be it aluminum, zinc, copper, oil; it doesn't matter what the case may be. So the ability to liquidate that can be done very quickly if there's some need for that or if it made sense. It probably doesn't make the best commercial sense for that, which is why we've given the profile and said it's going to reduce during the course of 2015 or at least a big part of it. But every time you, sort of, rolling and you're deciding what's the best outlet or optimization, but it is all hedged and sitting in those sort of structures. In terms of other contracts that may have a mark-to-market, that sort of duration of more than 12 months, I mean, if it's more than 2%, I'd be surprised. I mean, I don't have that number to hand, but – I mean, it may even be zero. I mean, that's how small it is. I mean, it really is the ongoing cycle of our conversion cycle. That's sort of the 30 to 35 days that's being sort of mark-to-market continuously. We may have longer-term volumetric commitments. We may have like five-year agreements, but we're not mark-to-marketing any option value or something in that. I mean, it's an ongoing realization of the overall process. There's very little that's being priced and it's all floating price improvement.
Paul Smith - Head-Investor Relations: Menno?
Menno G. Sanderse - Morgan Stanley & Co. International Plc: Yes. Morning. It's Menno at Morgan Stanley. Two questions, please. One on agriculture. Clearly, last year, the question was why do you have it now? Why don't you have more of it given that you did $1 billion of EBIT? So, which is quite impressive. So my question is really how much of this is one-hit wonder and how much is really sustainable and what have you seen at the start of this year? And secondly, on iron ore, you mentioned quickly, Steven, what have you changed in the business, meaning, it's now sizable, $66 million? I think you've changed the management. How are you going to build on that from here because clearly it's potentially a huge market?
Ivan Glasenberg - Chief Executive Officer & Executive Director: Well, I'll talk on the iron ore quickly and then Chris can talk on the grain. On the iron ore, they're developing the market, and so iron ore only became a tradable market about three, four years ago when it went more to this index and gone from producer to consumer, so we've developed the business nicely. 2013 was a good year. 2013 had performed well. During 2014, there was big discounts. The discounts were – started on the off-grade material was a lot higher than people anticipated, so it didn't have a great year, but nothing drastic. It wasn't big figures. It's a business being developed. But today, the iron ore business has developed very nicely. I think Jyothish is here, he heads up the iron ore division. What are we up to, 85 million tonnes or so I think, Jyo?
Jyothish George - Head of Iron Ore Marketing, Glencore Plc: It is 65 million tonnes last year.
Ivan Glasenberg - Chief Executive Officer & Executive Director: 65 million tonnes last year, but hopefully growing.
Jyothish George - Head of Iron Ore Marketing, Glencore Plc: That is just something that just came in a little bit higher.
Ivan Glasenberg - Chief Executive Officer & Executive Director: Yes. So 65 million tonnes last year and a growing business in a seaborne market of, what's it around, 1.3 billion tonnes or something like that. So it's a good mix. It's a growing business like we developed our coal business many years ago. It is about commodity, so we should continue growing it and with that, the margins will come.
Christopher Mahoney - Head of Agricultural Products, Glencore Plc: Thank you for your kind comments.
Ivan Glasenberg - Chief Executive Officer & Executive Director: You're enjoying this moment.
Christopher Mahoney - Head of Agricultural Products, Glencore Plc: Yes. The question, why is that not bigger, is what I ask quite often within the company myself.
Ivan Glasenberg - Chief Executive Officer & Executive Director: You couldn't find anything to buy.
Christopher Mahoney - Head of Agricultural Products, Glencore Plc: Yes, that's right, yes, at the right price. The business is quite different from it was a few years ago. Obviously, the acquisition of Viterra has made a big difference. When you look at the earnings from 2014, about 60% to 70% are not really trading earnings. A lot of it is grain movement, grain handling, semi-logistics. Another chunk comes from oilseed processing and milling. So it's more sustainable than it might've been six to seven years ago. Generally, less volatile, I would say, the earnings. The whole business is underpinned by demand growth and production growth. We have – the Canadian crop was not as good this year as it was the previous year, but we have a big carry in. Looks like we have pretty good South American crops. The U.S. crop, we don't know yet, but for the moment, it's okay. The EU crop also looks okay. So I think the outlook looks pretty good. And as I say, the mix is quite different from six or seven years ago.
Menno G. Sanderse - Morgan Stanley & Co. International Plc: And the 130 industrial, is that sustainable?
Ivan Glasenberg - Chief Executive Officer & Executive Director: The 130 industrial is mostly oilseed processing. That is plants in – five plants in Central Europe and a couple of plants in Argentina. And yes, it's sustainable. As I said, we have the South American crop. And for us, Argentina is more important than Brazil. It looks very good. The European crops, we don't know yet. But for the moment, the progress is good. There's not much – we see no significant buildup in installed crushing capacity which is important. So if we have demand growth and production growth and the installed capacity remains the same, then generally speaking, the outlook should be okay.
Paul Smith - Head-Investor Relations: Commodity should be strong.
Ivan Glasenberg - Chief Executive Officer & Executive Director: But the important point on the grain business also, and Chris may discuss it, after the acquisition of Viterra, we know replacement of these assets is very costly. So we took the view, we've got to get a decent return on these assets. We're not going to sit back and not push for returns. Similar like what we talk about coal. If we don't get the returns, we're not going dig the stuff out of the ground. And we took the view, we have these assets, we've got to get the right returns. And that's what – Chris has done a good job in Canada, et cetera, to ensure we get the right returns and we continue to do that along all our assets in the grain business.
Christopher Mahoney - Head of Agricultural Products, Glencore Plc: I think, when you – particularly, when you look at the replacement value of assets, not only ours but our competitors as well, and you look at the current set of earnings of returns and compare it to replacement value...
Ivan Glasenberg - Chief Executive Officer & Executive Director: Tremendous.
Christopher Mahoney - Head of Agricultural Products, Glencore Plc: There is reason to be optimistic. If the industry is disciplined, there is certainly reason to be optimistic.
Ivan Glasenberg - Chief Executive Officer & Executive Director: And do we want to grow? Yes. If we can find the right assets that generate the right hurdle rates, see we'll have the money to do it.
Paul Smith - Head-Investor Relations: Thank you, Ivan.
Sylvain Brunet - Exane BNP Paribas: Sylvain Brunet with Exane BNP.
Ivan Glasenberg - Chief Executive Officer & Executive Director: We enjoyed that moment, Chris.
Christopher Mahoney - Head of Agricultural Products, Glencore Plc: I did, yes.
Sylvain Brunet - Exane BNP Paribas: First question was on zinc. If you could confirm the cash cost guidance for the year as the new projects are coming through. Second question, you've talked – comment a bit more on the – a lot of industry capacity and losses at the moment, if you see closures elsewhere with the repricing of the early contracts, the end of some take-or-pay. And lastly, if you could get an update on Koniambo and what sort of volume guidance will you suggest for this year. Thank you.
Ivan Glasenberg - Chief Executive Officer & Executive Director: Okay. Chris?
Christopher Mahoney - Head of Agricultural Products, Glencore Plc: Yes. Hi. Just a quick answer on the same question, and basically a very boring answer, which is to repeat the guidance we gave back in December. Production is ramping up in accordance with what we told you then. And really, that's the key factor in looking at where our C1 cost goes. So, once we have a ramp-up year this year or full year during 2016 of these expanded assets, which allows to dilute our fixed cost to some extent, we expect to be in that border line first quarter, our position, by this time next year. So, confirming what we told you before basically.
Ivan Glasenberg - Chief Executive Officer & Executive Director: Coal too?
Peter Carl Freyberg - Chief Executive - Xstrata Coal, Glencore Plc: Yes. I'm not sure I understood your question, but we still see the market today. You have about 20% of the market in thermal coal. That's cash negative relative to the current market. Primarily that's in Indonesia and the United States. And we expect – we don't expect Indonesia to grow significantly at all this year. And as we said, it's grown over 15% annually for the last five years. It's also a different type of material. One of the reasons, as Ivan highlighted, when we took the decision to cut production and cut exports in Australia was because specifically for various quality, various certain markets, and we don't see where else this type of material, let alone tonnage for that matter, will be coming at these prices out not from Colombia, not from South Africa, not more from Russia despite the weakness of the ruble, certainly not from the United States. So, Indonesia obviously remains a concern. But with close to 40% of their material cash-negative, we can't see any big exports coming on out of Indonesia. Thank you.
Aristotelis Mistakidis - Co-Head - Zinc/Copper/Lead Department, Glencore Plc: And on Koniambo, everybody is aware that we had a tap out in December, unfortunately. Our guidance currently remains unchanged at 26,000 to 40,000 tonnes, and we'd be back to the market in due course once the investigation is completed.
Ivan Glasenberg - Chief Executive Officer & Executive Director: Myles?
Myles L. Allsop - UBS Ltd. (Broker): Just going back to one of your answers earlier on what a blowout year for oil is, are we looking, I don't know, four or five years ago when you were generating $1 billion of EBIT from oil, is that what a blowout year could be if the current market conditions persist for the rest of the year? Also, on Lonmin, I was wondering why it's taken so long to decide to spin it out. And obviously, it would have been more value-accretive done on day one rather than sort of 18 months later. And maybe just on the deferred tax asset that Steve referred to, sort of remind us sort of how big that deferred tax asset is and how much we're likely to see in terms of cash benefit each year for the next five years.
Ivan Glasenberg - Chief Executive Officer & Executive Director: Okay. We'll leave the good one for last. Alex will answer the oil last. To clear up the other questions, Steve, on the tax. Your first one was?
Paul Smith - Head-Investor Relations: Lonmin.
Ivan Glasenberg - Chief Executive Officer & Executive Director: Lonmin, yes. Basically, on Lonmin, why didn't we do it straightaway? Firstly, we had to assess how long, what was the situation in Lonmin. There was no reason to do it immediately. We want to get to grips with the company. What we did do as you know, two of my colleagues sat on the board. Gary Nagle sat on the board. He's based in South Africa. And Paul sat on the board. And we tried to ascertain what was the situation of the company and how we could assist. What we did do with Lonmin, as you know, certain board members changed. Number one, a new Chairman was put in place. Brian Beamish came on board. Brian has a lot of experience in that area. So, he's added value to the company. What we also did is we took Ben Moolman, who was working at our Eland's operation. He was an ex-Lonmin operational manager. We put him back in Lonmin. He's got I think 25 years experience. He had been at Lonmin about 25 years. He knows the assets very well. We put him in place. He has now become Chief Operating Officer. So, we believe we did as much as we possibly could with Lonmin to get it in the right space. That's what we did. Now, we are not experts on the platinum price. We've always said it's not a commodity we trade. We don't understand it that well. We inherited this asset from Xstrata. So, we could have either sold it on the market if there was a buyer. We haven't seen, there was no one. There was (61:36) potentially buying it, but we didn't see anyone coming and paying a decent premium or anything like that. So we thought, the best thing to do was do a dividend special to our shareholders and let them make a decision what they want to do with the asset. So, we took it to the best stage that we could do with our ability on the management side.
Steven F. Kalmin - Chief Financial Officer: We also had the five-month strike of course in South Africa, and then last year in 2014, which effectively put anything to do with that business on the sidelines during a long period of time.
Ivan Glasenberg - Chief Executive Officer & Executive Director: Alex?
Alexander Frank Beard - Head, Oil Marketing & Industrial, Glencore Plc: Well, obviously, I don't think I can make a prediction on what the EBIT can be for this year. But I think if you go back historically pre-IPO and you look at EBIT numbers, they were certainly short of $1 billion, and some ways short because some of those numbers maybe didn't include a proper understanding of the overhead there. So, but I think it's fair to say that trading conditions are attractive at the moment. We've had a good start. But I think a couple of things to say, just in terms of a note of caution there. Firstly, what we've already said is a contango market is a good market to trade. It covers your storage costs to a certain extent depending on the contango is, so it is attractive. But if you look at some of the products markets, they're actually in backwardation. So, we've always said that we're more geared towards product contango than we are crude contango. Notwithstanding that, even though they're in backwardation, they've still been attractive markets to trade. You had good volatility, good refining margins. Although we don't own refineries, that contributes to an attractive trading environment. The second thing is just to comment on crude contango. I think people look at the crude curve and say it's in contango, must be a fantastic market to trade. If you're going to make money out of crude contango, it's basically by putting crude in storage. So, once you put the crude in storage, you hedge forward and you collect the contango. But if you look at the crude contango curve, it's got to pay for the storage and it's got to pay for the time value of money to put the crude in there. So when you see spreads, sort of current spread conditions, I mean they are attractive. They pay for land-based storage and a small profit on top of that. But there by no means are current spread levels attractive enough to encourage large amounts of floating storage. There were lots of reports of floating storage a few weeks ago. Some of those vessels have been dropped. Some of them are being used in the nor market, the super contango and super profits in the crude oil market is just not there at the moment.
Steven F. Kalmin - Chief Financial Officer: And Myles, your question then on tax. On page 66 on note 6, we've got the tax losses recognized, $3.4 billion. That's the book value, i.e., eventually the cash value. Now, you need to put some sort of present value on that. We mentioned the different countries where we have some of those bigger tax losses, Australia. I mean, a lot of these things is around the IPO. There was the restructuring. There was tax triggered at obviously at different levels. So, our Switzerland, U.S., Australia, and African copper, given the huge development that we've had there, or clearly some of the assets now, over what period of time, is just going to get realized. It's going to be a function then of the profitability clearly of those operations, which is then a function of your copper prices and coal, obviously in Australia and zinc and others. But if you were to, I would say you could conservatively take a sort of a 10-year amortization profile on that would be sort of conservative. So, you could have, divide by 10, sort of $300 million to $400 million a year over the next sort of 10 years coming through.
Jatinder Goel - Citigroup Global Markets Ltd.: Morning. Jatinder from Citigroup. Two questions. First, on the marketing new entries, there is about $2.2 billion build-up in the second half. Given oil and coal prices were lower, in a normal environment, the inventories would have gone down. But since you have taken opportunistic positions, how much of the total is opportunistic positions because inventories would have otherwise gone down? So $2.2 billion is the delta we see on the numbers. But is it like $4 billion to $5 billion which you have incrementally put on during the second half? And which commodities are we exposed to in those opportunistic positions, if you could give some color? And secondly, did you see any similar positions after copper price crack in January? And did you take any of incremental positions in copper?
Steven F. Kalmin - Chief Financial Officer: Just a question on that. What do you mean by opportunistic position?
Ivan Glasenberg - Chief Executive Officer & Executive Director: On a short position?
Steven F. Kalmin - Chief Financial Officer: You mean net exposed position? Speculative position?
Jatinder Goel - Citigroup Global Markets Ltd.: Well, both physical and speculative, like any.
Alexander Frank Beard - Head, Oil Marketing & Industrial, Glencore Plc: Okay. I mean, just in terms of inventory, and maybe Telis then on the copper, most of the build-up in the inventory during the second half in terms of opportunities, marketing business was across the base metals spectrum. So it was aluminum, zinc, copper, nickel, et cetera, et cetera. So, it wasn't – and the prices didn't come off across the basket that much in second half. I mean, some of the price reductions has more happened in Q1 this year in terms of that next leg down. If you took across our various commodities, zinc was probably more flattish. Aluminum, probably up with premiums potentially during that year. Copper, a little bit down clearly, but not enough when you're saying should it have been $5 billion or something. I mean, that's sort of less. But there has been some volumetric increases clearly in those particular businesses, and those are the ones that we expect to see some of that unwinding in 2015.
Ivan Glasenberg - Chief Executive Officer & Executive Director: Well, opportunistic positions where people may see premiums going on particular commodities.
Alexander Frank Beard - Head, Oil Marketing & Industrial, Glencore Plc: And on copper, I guess the short answer is nothing.
Ivan Glasenberg - Chief Executive Officer & Executive Director: Short answer.
Aristotelis Mistakidis - Co-Head - Zinc/Copper/Lead Department, Glencore Plc: I wasn't sure I understood your question exactly.
Jatinder Goel - Citigroup Global Markets Ltd.: No. I was just wondering. Were there any more opportunities presented after the copper growth declined generally?
Aristotelis Mistakidis - Co-Head - Zinc/Copper/Lead Department, Glencore Plc: Well, it's not so much the decline. I mean, we've always said that we trade the premium or the treatment charges. So normally, when you see generally, as a statement, you could say without giving away our trading position, if you see that there's destocking on the part of the Chinese and the premium coming down, that's the time that you want to come in and take the materials. And when you see prices getting stronger, premiums getting – strengthening, you take advantage of that as part of your training.
Paul Smith - Head-Investor Relations: Yes. Thank you. (68:07). Three questions if I may. One, to what extent this reduction in CapEx, especially this year, is due to exchange rate fluctuations? Second, is it possible to give an estimate at all how much the former Viterra operations contributed to EBIT last year? And lastly, if we draw any comparisons or parallels between iron ore and thermal copper business, sorry thermal coal business, one might argue if only playing devil's advocate, that these two markets have somewhat different structure. And in thermal coal, there is a more diversity of supply, more diversity of demand, while in iron ore, there are basically two big sources of supply, very high concentration, high proportion of direct contracts between miners and consumers in basically cutting out the middle man. And the bulk of this seaborne supply goes to one particular door, that's China. Is it correct to say that structurally in this sense, iron ore is less attractive market for a trader to be in compared to thermal coal? Thank you.
Ivan Glasenberg - Chief Executive Officer & Executive Director: Well, I'll answer the second – the last question. Thermal coal, yes, there's a diverse amount of suppliers. So therefore it's a tradable market. And as you know, we have a big part of the trade there. But iron ore also, as we proved with the 65 million and moving up, it's still, even though a few major producers, dominated by three, four producers, those four producers still play on the spot market. And it is a liquid spot market. It is a liquid market over there. So therefore, you can get physical tonnes as proven by the mine of tonnes we've got. And there is an amount of other tonnes from the smaller producer of the $1.3 billion, I think the big boys dominate what percent, Josh? About 60%?
Paul Smith - Head-Investor Relations: 70%, yes.
Ivan Glasenberg - Chief Executive Officer & Executive Director: 70% of that. So, the balance is tradable and you do have the smaller guys. And those smaller guys do want to traders to help and market their production. But as I said, the big guys also put tonnes on the market. So, it is a pretty liquid market. So, it is a market you can develop a business in, so not much different to coal. That's the way we see it. The other question?
Steven F. Kalmin - Chief Financial Officer: The first one on the CapEx, the FX impact, I would combine both the FX impact and just generally lower input costs as well. So you've got lower fuel as it sort of worked its way through the system. So, of that sort of $1.1 billion to $1.4 billion, $300 million to $400 million would have been on account of that across the business. So that would have passively happened anyway, and then the rest is obviously looking at individual components. And I think without even giving a microphone to Chris, we don't break up the specifics of the different components, including the former Viterra.
Christopher Mahoney - Head of Agricultural Products, Glencore Plc: And Viterra as a unit does not exist anymore, anyway. It's been fully – we retained the brand name in Canada...
Steven F. Kalmin - Chief Financial Officer: And Australia.
Christopher Mahoney - Head of Agricultural Products, Glencore Plc: To some extent in Australia. But it does not exist as a unit. The international trading part.
Steven F. Kalmin - Chief Financial Officer: It's integrated now.
Ivan Glasenberg - Chief Executive Officer & Executive Director: Fully integrated.
Christopher Mahoney - Head of Agricultural Products, Glencore Plc: It's fully integrated, and so there is no breakout anymore. But the Viterra assets particularly in Canada have obviously performed well, but there is no Viterra.
Bruce Duguid - Hermes Investment Management Ltd.: Bruce Duguid from Hermes Equity Ownership Services. You highlighted your concern for the 16 fatalities last year, and you've noted that that is reducing. But the – particularly, the focus is on those four high-risk countries. What sort of measures are you taking there to implement best practice? And how long do you think that might take to implement? And then just one other question, you also mentioned that you've joined ICMM. What significance will that have for the business going forward?
Ivan Glasenberg - Chief Executive Officer & Executive Director: Okay. Look, how do we – we got good practice throughout the group. That has been proven. In 140,000 people, we only had three fatalities in the regular countries where our peers operate. And if you compare those figures to our peers, we ride up amongst the best of the best per – if you take it per 100,000 employees. That's the way we like to look at it. You can't – you've got to try compare like with like. Someone may have a lot less employees, but they have less fatalities. So rather we try, monitor pulls, starts in the employees you've got. So, three against 140,000, we're right up there. Now, how are we going to sort out the problems in Kazakhstan, Zambia, the Congo DRC? We've got to roll out the same practices we have across those 140,000 people, we've got to roll out to those other areas, which is what we're doing, the SafeWork practice. This is a practice we've got throughout the group. It was developed initially in the Coal Division. It's been rolled out to the rest of the group. And it has been installed in those countries very much so. You visit any one of those sites, the training facilities are the same as you've seen in any of our first-world operations. The poster, the training, they've booklets, the documents, and the rollout is identically the same. No difference. We're rolling out. But you're changing the culture of a person or people. Now, what we're trying to say, the safest place, those people lived during their day, is at work. I'll give you an example. These guys drive to work with a motor that doesn't have brakes. They don't even have seatbelts in their cars. Suddenly, they come to work. They're told, the brake has to work. The machine has to be checked. They've got to put on a seatbelt, et cetera. You're changing their culture. So, it's difficult. It's going to take time, but we're getting there. Now, an interesting point; if you look in a country such as Kazakhstan, we are now the leader in Kazakhstan, way ahead of anyone else to the effect that the other miners in Kazakhstan are asking our help to assist them, to get to our practice. So, this is the good thing we're trying to say to the world. We're not going to leave – a lot of the other miners, our peers, rather leave a country and say, I don't want those fatalities, so therefore, I'm not going to do deep underground mining. I'm not going to operate in Kazakhstan. I'm leaving those countries. And what happened? Fatalities continue growing. We take the view, we're there. We will explain that to our investors such as yourself what we're doing. So, the world should be saying, thank God Glencore is there because we're doing a great job to the industry, and it is being passing on to our fellow miners in the industry. And that's a big thing we're doing in Kazakhstan. So, yes, we believe we will get them to the right practice to the risk – matching the risk of our operations, but it will take time. How long it's going to take? I can't answer that question. But we don't want to give up on it, and I believe we will get there.
Bruce Duguid - Hermes Investment Management Ltd.: ICMM?
Ivan Glasenberg - Chief Executive Officer & Executive Director: ICMM membership. Yes. Look, to become a member of ICMM is a very robust process. You've got to go through a very critical acceptance analysis. They visit all our sites. They bring in independent arbitrators to look at our sites, to investigate us. So, to become a member is not easy. So, yes, we were well accepted by ICMM. I think ICMM even said we're one of the best acceptance ratings that they had done, and review that they have done of a company. So, we're well accepted. We are now a member of ICMM standards. And we're part of ICMM. And together, we assist each other to get the best practices throughout the group. And we share knowledge with each other to make sure in that area, we all are the best of the best. And that's the big thing with ICMM. ICMM does a great job. As a mining industry, we believe we do a great job. And that is what we're going to campaign to the world. What the members or what ICMM does and the group does for health, safety, malaria, et cetera, in the world. And that's an important feature.
Paul Smith - Head-Investor Relations: Hi. (76:11) from RBC. Two questions. First, on thermal coal. Assuming some of your competitors had the right quantities and the right qualities in terms (76:21)
Ivan Glasenberg - Chief Executive Officer & Executive Director: You know what the ports can do, et cetera. So, where we take their decision, we've got to see who, will someone rather pulling it. And if they not, we're going to do it. Now, if someone pulls the gap, then we're going to reassess our position. But it also has, as I said, it's a particular quality. That Australian quality is a special quality. It's not the same as a low-quality Indonesian coal. And the world demands. We've got to watch quality-by-quality. If someone pulls the gap with lower quality coal, which who is going to take, who cares? So, we try and match production with consumption. We don't want to oversupply a market and as I keep saying, cannibalize our existing tanks.
Paul Smith - Head-Investor Relations: For sure, they're non-replenishing asset.
Ivan Glasenberg - Chief Executive Officer & Executive Director: Non-replenishing asset. Yes. There's coals in the ground. We want to return on our coal. Let us stay on the ground and we'll dig it out sometime in the future.
Alexander Frank Beard - Head, Oil Marketing & Industrial, Glencore Plc: Just on a basis, one of the key features in Australia is the amount of – one of the key features in Australia is the amount of take-or-pay that everybody is sitting on. So, all of the producers are pushing their tonnes as hard as they can. We actually have the least take-or-pay exposure in terms of percentage of our output. But there's something like 100 million tonnes out there that isn't being used. Everybody is producing what they can. So, our cut, taking that out of the market is pretty real.
Ivan Glasenberg - Chief Executive Officer & Executive Director: No, we assess it. It's like we're talking replacement cost of the grain assets, et cetera. This is starting to hit me. One of our mine manager always uses an example. If you take 150 million tonnes of coal we're digging out the ground every year, if we don't get – think 150 million tonnes is one major coal mine. It's a reserve, a good reserve, West coal is a good mine, it's about 150 million tonnes. So, you're selling a coal mine every year. Now, we don't get it. I got to look at it and say to the coal guys, are you ready to sell a coal mine for your profit that you're making that year. And if you're not, prepare to sell it. An actual coal mine, a big coal mine with those reserves for what their properties that you're – why dig it out the ground? It's equivalent to selling a coal mine. And that's really what we've got to focus on.
Steven F. Kalmin - Chief Financial Officer: Just on depreciation, you can see it did go up around $400 million this year to – from $5.6 billion to $6 billion. As I said, extra oil and copper with a tune which we saw quite a bit of growth. Maybe, Martin, what are we guiding for 2015 in depreciation?
Paul Smith - Head-Investor Relations: (78:47)
Steven F. Kalmin - Chief Financial Officer: Okay. So, sort 7% because we still got a bit of a growth spurt coming in copper and zinc. And it's going to be subject to the throttling back on coal. Of course, it's going to take depreciation out there. It's going to smooth that. The oil side we need to sort of see exactly the sort of growth profile there, but you should sort of see it 7%, just what we need to depreciate the quite big CapEx that's been part of the business there.
Paul Smith - Head-Investor Relations: Any more questions?
Paul Smith - Head-Investor Relations: I think as we said on the Investor Day, we've successfully agreed with the government to extend the exploration phase of all of the eastern blocks through till 2019 now. So, we don't have any license expiries or relinquishments coming up until 2019. So, even with the current sort of pull back on CapEx, we don't have any intention of losing our licenses.
Ivan Glasenberg - Chief Executive Officer & Executive Director: Okay. Well, thank you for coming. Thank you.
Steven F. Kalmin - Chief Financial Officer: Thanks, all.